Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Target Corporation third quarter earnings release conference call. [Operator Instructions] As a reminder, this conference is being recorded Wednesday, November 16, 2016. 
 I would now like to turn the conference over to Mr. John Hulbert, Vice President, Investor Relations. Please go ahead, sir. 
John Hulbert: Good morning, everyone, and thank you for joining us on our third quarter 2016 earnings conference call. On the line with me today are Brian Cornell, Chairman and Chief Executive Officer; Mark Tritton, Chief Merchandising Officer; John Mulligan, Chief Operating Officer; and Cathy Smith, Chief Financial Officer. 
 This morning, Brian will recap our third quarter performance and progress in pursuit of our strategic objectives. Mark will provide detail on recent category performance, along with our fourth quarter merchandising and marketing plans. John will provide an update on our efforts to improve operations and modernize our supply chain. And finally, Cathy will offer more detail on our third quarter financial performance and our outlook for the fourth quarter and full year. Following their remarks, we'll open the phone lines for a question-and-answer session.
 As a reminder, we're joined on this conference call by investors and others who are listening to our comments via webcast. Following the call, Cathy and I will be available to answer your follow-up questions. 
 As a reminder, any forward-looking statements that we make this morning are subject to risks and uncertainties, the most important of which are described in our SEC filings. Also in these remarks, we refer to adjusted earnings per share, which is a non-GAAP financial measure; and return on invested capital, which is a ratio based on GAAP information with the exception of adjustments made to capitalized operating leases. Reconciliations to our GAAP EPS from continuing operations and to our GAAP total rent expense are included in this morning's press release, which is posted on our Investor Relations website.
 With that, I'll turn it over to Brian for his comments on the third quarter and our expectations going forward. Brian? 
Brian Cornell: Thanks, John, and good morning, everyone. We are very pleased with the financial results we announced earlier this morning. While we have much more work to do, this quarter, we saw meaningful progress in our efforts to improve our traffic and sales as both metrics improved by about a percentage point compared with the second quarter. 
 In addition, we generated much stronger-than-expected EPS performance, driven by strong signature category growth, favorable results in Back-to-School and Back-to-College season and the continued benefit of our cost-savings efforts. 
 Our third quarter adjusted EPS of $1.04 was 22.1% higher than last year and well beyond the high end of the guidance range of $0.75 to $0.95. With this outstanding third quarter performance, Target's adjusted EPS has grown more than 10% through the first 3 quarters of the year. This is particularly strong performance given that we've experienced flat comparable sales growth during this period. 
 In addition, our business continues to generate very strong after-tax returns on invested capital. For the 12 months through the end of the third quarter, we reported a very healthy after-tax ROIC of 14.3%, excluding the onetime benefit of the gain on the sale of our pharmacy business. This performance represents an increase of approximately 130 basis points from a year ago. 
 Of course, strong cash generation by our business allows us to continue to fund a healthy level of investment in our stores, supply chain and technology while funding robust cash returns to our investors. In the third quarter, we returned about $1.2 billion to our shareholders on the form of dividends and share repurchases. Year-to-date, we've already returned over $4 billion to our shareholders. 
 I'd like to pause and thank our team for their boundless energy and passion to serve our guests by offering them unique merchandise, outstanding service and a best-in-class experience. They deserve all the credit for our outstanding financial results this quarter. 
 As I look ahead, I'm really excited about our holiday merchandising and marketing plans, and I'm confident that our outstanding team will bring those plans to life for our guests in our stores and digital channels throughout the holiday season. 
 Our third quarter results demonstrate continued progress on many of our strategic priorities. Reflecting our work on category roles, sales in signature categories accelerated in the third quarter, out-comping the company average by more than 3 percentage points. 
 Signature growth was the key driver behind healthy comp increases in both Home and Apparel, and we continue to see market share gains in these important categories. Consistent with our recent strength around events and holidays, third quarter sales in the Back-to-School, Back-to-College season were very strong, resulting in favorable gross margin mix in our sales. In addition, our gross margin rate continues to reflect the cost of goods benefit of our ongoing cost-control initiatives. 
 Within our signature category results, we're seeing exceptional growth in our 2 new brands we launched earlier this year: Pillowfort in Kids Home and Cat & Jack in Kids Apparel. We developed these new brands in collaboration with both kids and their parents, and our guests continue to respond to the unique combination of style, quality and value these new brands deliver. 
 We also continue to see robust growth in our digital sales. Digital sales grew more than 26% in the third quarter, and they've grown more than 20% year-to-date. This year, we have devoted both capital and expense to improve the digital experience, increase reliability and create additional capacity, and we're seeing really encouraging results. 
 This quarter, we ran a promotion that, among other things, allowed us to stress test our systems in advance of the fourth quarter. This promotion was an unprecedented and compelling offer for our guests, 10% off our entire assortment in both stores and digital channel. As you'd expect, the offer drove strong traffic and sales in all channels, but our digital comp on that day was particularly high. In the face of very strong surge in traffic, I'm happy to report that our system performed very well, providing us valuable insight as we prepare for even bigger days this holiday season. 
 Last year, to support our strategic investments in Target's digital capabilities, supply chain and store experience, we launched a comprehensive cost-savings effort to free up resources and create capacity, and our team has really delivered. We had an ambitious goal: to take a total of $2 billion out of Target's expenses and cost of goods over a 2-year period. Yet, as we approach the end of that 2-year period, I'm pleased that our team has actually exceeded our $2 billion goal, and importantly, the team has identified additional opportunities we'll pursue in future years. The ability to create additional capacity is critical given the sizable investments we'll continue to make as we position our business for long-term growth. 
 Finally, we are really excited about the continued strong performance of our new flexible-format stores. These new locations allow us to reach new neighborhoods in dense urban and suburban markets. We opened another 5 of these stores across the country in the third quarter, including our fantastic new store in the TriBeCa neighborhood of New York City. 
 When we open and operate these stores, we go beyond legacy systems and processes, customizing the assortment and operations that fit the characteristics of the individual neighborhoods in which we operate, and we continue to see phenomenal responses from our guests. Including this quarter's opening, we are now operating nearly 30 of these new-format stores. Based on their performance, we are increasingly confident in the opportunity for Target to profitably operate hundreds of urban flex-format stores over time, reaching new neighborhoods where consumers have a strong affinity for our brand. 
 As we look ahead to the fourth quarter and beyond, we are continuing to address the challenges I described on our last conference call. First and foremost is traffic. And while we saw considerable improvement this quarter, we are committed to growing our comp traffic and sales over time. A key factor is our ability to deliver on both sides of our Expect More. Pay Less. brand promise, and our signature category performance demonstrates that we continue to deliver on the Expect More side. 
 However, earlier this year, we began to fall short in communicating value to support the Pay Less side both in our stores and in our marketing. In the third quarter, we began to address that imbalance by communicating our commitment to value more clearly. We believe those changes were instrumental in driving improved traffic and comp sales in the third quarter. Going forward, we are committed to striking the appropriate balance in all of our marketing communications. 
 We also continue our work to improve the performance of our assortment of convenient, self-service Food in our stores. We saw another small decline in Food comp sales in the third quarter, reflecting near-term challenges presented by deflation and an intensely competitive environment. Despite these near-term challenges, we are focused on delivering stronger growth over time, and Mark will outline his team's plans in a few minutes. 
 In addition, comp sales in our Electronics and Entertainment categories continue to underperform the company average. However, in the third quarter, we were encouraged to see a meaningful improvement in sales of Apple products, driven by their introduction of several new product innovations. As you know, Electronics, Entertainment and Toys are key gifting categories in the fourth quarter, and the team is excited about their plans to compete and win at this critical time. 
 Finally, we continue to work with CVS to drive script count growth in the pharmacies in our stores. As a result of our coordinated marketing efforts, which included our stores, our weekly ads and CVS direct communication to their PBM members, we measured an increase in consumer awareness of the transition of our stores' pharmacies to CVS, and we've seen a corresponding improvement in the script trend in these pharmacies. We continue to believe our CVS partnership will be an important traffic driver over time, and we expect to see significant improvement in 2017. 
 Before I turn the call over to Mark, I want to pause and reflect on the progress and the business results through the first 3 quarters of the year. When you focus on the top line, you'll see that we've generated essentially flat comps through the first 9 months of the year. This is well below the expectation we had at the beginning of the year, and our first and highest priority is to restore growth to the traffic and sales trend. 
 However, when you move to the bottom line, you'll see that we've grown adjusted earnings per share more than 10% in the first 9 months of the year. This is outstanding performance, but it's particularly noteworthy in light of the sales challenges we've been facing. The performance is a testament to the resilience of our underlying business, our strategy and, of course, our team, the best team in retail. 
 Now I'd like to welcome Mark Tritton onto the call. Mark comes to us with an impressive history in retail merchandising with experience at Nike, Timberland and, most recently, Nordstrom. Mark is a merchant's merchant and a strong leader. Since he arrived at Target, I've been impressed with how quickly he's become immersed in our business and integrated into our team. We're excited to have Mark leading merchandising, and I know he's excited about our plans for the fourth quarter and beyond. 
 So with that, I'll turn it over to Mark so he can provide more details on the category performance in the third quarter and our plans to win during the holiday season and beyond. Mark? 
Mark Tritton: Thanks, Brian, and hello, everyone. I'm so happy to be joining all of you on the call today. I look forward to meeting with you in New York this spring. 
 As Brian mentioned, I spent the last several months digging into our business, understanding Target's strengths and exploring where we have the biggest opportunities to grow. And what I found is we have a strong business as it stands today, a powerful Target brand, an impressive own brand portfolio, great-looking stores, a friendly and engaged team and a huge base of passionate guests. With these strengths, we also have an amazing opportunity in front of us. It's been energizing to dig in with the team to develop merchandising's plan to drive Target's future growth. I look forward to sharing our vision in detail with you at our Financial Community Meeting. 
 For today, I'm going to focus on our recent performance and our plans for this quarter and the holiday season. In the third quarter, sales performance improved across nearly every part of our business. Comp sales in Apparel and Home accelerated the most, providing a positive mix benefit on the gross margin line. Strong execution and markdown management compounded that benefit, leading to much stronger-than-expected gross margin in the quarter. 
 As Brian mentioned, we saw very strong trends in Back-to-School and Back-to-College, reflecting our focus on key growth categories and the benefit of improvements we made to our promotional cadence. Digital growth played a big role in the season, particularly in Home, which is already one of our biggest and most profitable categories online. We've continued to see the fastest growth in signature categories sales. 
 A few of the highlights from the third quarter include Kids, where we've seen an outstanding performance in Cat & Jack and Pillowfort. We've also continued to generate strong comps in women's ready-to-wear on top of outstanding growth in 2015, and within Home, our results were strongest in the decor and Seasonal categories. 
 Given this strong growth in signature, both Home and Apparel saw low single-digit growth in comp sales this quarter, extending our record of market share gains in these strategically important categories. As Brian mentioned, in Electronics, recent product launches helped improved trends in Apple this quarter. However, we continue to see soft trends in mobile phones overall, which is what we've seen in the industry as upgrade cycles are lengthening. 
 In Food and beverage, we saw another small comp sales decline this quarter. As we mentioned in the last earnings call, we have an opportunity to more clearly convey and resonate value for our guests in this important category. This is being done through our end-cap presentations, enhancing our use of local pricing and making changes to our promotional cadence, and we expect to see the full benefit from these changes in the fourth quarter. 
 In essentials, where we identified a similar opportunity, we've seen faster progress. As a result, comp sales grew in essentials in the third quarter, and we expect to see continued progress this quarter. 
 Also, as Brian mentioned before, we've seen a meaningful improvement in script counts in the CVS pharmacies in our stores. We're also seeing higher guest services scores compared with the period prior to and particularly during the conversion of our pharmacies. These improvements show that our guests are moving beyond the temporary disruption caused by those conversions, and with the disruption behind them, they're responding to the services and capabilities that CVS can provide. As we look ahead to the fourth quarter, we expect to build on our momentum from the third quarter. 
 Target is a destination for season, and no season is more important than the holiday. In Home, we're looking to build on last year's success, when we saw the biggest comp growth in more than a decade. Our holiday décor assortment will feature products based on 3 key Seasonal trends: traditional, Nordic and modern. 
 New this year, we've created Wondershop, a destination in our stores and on target.com that will grab guests' attention and put them in the mood to shop for the season. Wondershop features thousands of new holiday interim items. In fact, about 70% of the assortment is new this year. 
 We're also bringing back to the holidays our collaboration with stationery designer Sugar Paper, which was a big hit last year. This features a limited edition collection ranging from $1.50 to up to $15. 
 Holiday is an important Apparel season for families, and we're well positioned to deliver for our guests with our new Cat & Jack collection. This new brand has hit a sweet spot with millennial parents in particular, and we have high expectations for what it can deliver during the holiday season. Between October and December, we are introducing more than 1,000 new pieces to our Cat & Jack assortment. Each piece is under $30, which is unbeatable value when you consider the design and quality. 
 As Brian also shared, Toys play a key role in the fourth quarter. In fact, we do about 50% of our annual toy sales during this time frame, and this year, we're building on 10 consecutive quarters of growth in Toys, reflecting our investments in newness, differentiation and collectability. This holiday season, we've added nearly 1,800 new and exclusive toys, up more than 15% from last year. 
 As you recall, Target had the #1 market share in Star Wars last year. This fall, we once again led the market with launch of our Rogue One assortment, and for holiday, we're featuring more than 100 new products. Beyond Star Wars, Disney princesses continue to do very well. Elsa from Frozen remains our top seller, selling more than the other 11 princesses combined. 
 An emerging trend in board games has been a bright spot for us this year as families are looking for activities that bring them together. We've seen double-digit growth in board games so far this year, and we've got 50 Target-exclusive games this season for you. 
 In Electronics this quarter, we are planning for strong demand for Apple new products given that preorder volume was 3x higher than last year. We're also expecting a lot of guest interest in virtual reality, along with connected home devices like Google Home. Elevated service in our Electronics department is also important to help make shopping in this area a more enjoyable experience for our guests and drive incremental sales in our stores. So more than 1,500 stores we're transitioning from Target Mobile reps who are focused only on mobile to Target tech whose scope will include all of Electronics. 
 Last year, our exclusive CD from Adele was a massive hit for the holiday season. This year, we've got a collaboration with Garth Brooks, and we expect it to be huge. Target's 10-disc box set includes Garth's new album with 2 exclusive tracks, including the much hyped 25th anniversary edition of Friends in Low Places. By the way, Target is the only place you'll ever be able to find that track. The set went on sale for $29.99 on November 11, 2 weeks before Garth's new album will be available at other retailers. 
 This year in Food and beverage, about 20% of our national brand holiday assortment is exclusive to Target, and we've more than doubled our assortment of craft beers from last year, growing from about 700 to nearly 1,500 options across the country. 
 In our marketing and promotion, we're coordinating everything for our guests, inspiring them with providing ease and convenience during a stressful time of the year. From the Wondershop to the Wonderlist gift guide and the kid's Wish List app, we're making it easy and fun for guests to find the right gift for everyone on their list. 
 Guests loved our 10 Days of Deals last year, so we're bringing back these popular promotions on the days leading up to and following Black Friday. Based on guest insight, we've optimized this year's cadence of deals and simplified offers to make them easy to understand. In addition, we've worked with our stores to streamline guest communication, freeing up store teams to serve our guests during the busiest time of the year. 
 And finally, throughout the season, our broadcast ads will build excitement for the release of The Toycracker, our take on the classic story of The Nutcracker. We'll release this new holiday story in 2 4-minute segments during the world broadcast premiere of Frozen on December 11. Kids of all ages will not want to miss it. With all this amazing content, I hope you can see why we are so excited about our merchandise, promotion and marketing plans for the holiday season. 
 However, as we all know, these plans will only come to life through the work of our operations team. So now I'm going to turn the call over to John, who will outline how his team is prepared to deliver on those plans and provide outstanding service to our guests throughout the holiday season. John? 
John Mulligan: Thanks, Mark, and good morning, everyone. Across every aspect of our operations, we are excited and prepared for the peak holiday season. And as a result of this year's efforts to increase the speed, accuracy and reliability of our network, we're well positioned to deliver great guest service and a better experience in every channel. 
 In our stores, we've hired and trained tens of thousands of seasonal team members who are already serving our guests. Notably, despite the tightest labor market conditions we've seen in some time, our hiring and training process went smoothly. In fact, we met our key hiring and training milestones earlier than a year ago. 
 When guests shop our stores this holiday season, in addition to great products, displays and services, they'll find our in-stock position is better than we've ever measured, reflecting improvement across every category we sell. And importantly, we're attaining those in-stock levels with lower inventory than a year ago. Over the last 18 months, we've deliberately invested in our inventory position in key commodity categories to ensure we remain in-stock in categories where reliability is most important to our guests. However, now that we've annualized these investments and we're beginning to see the benefit of our work to make our supply chain faster and more reliable, we'll be able to deliver outstanding in-stocks on a smaller base of inventory over time. 
 The accuracy of our inventory data is key to our speed and reliability, and we've been investing in our systems and processes to achieve greater accuracy. One example is our implementation of RFID technology in a portion of our Apparel assortment, which is currently in more than 1,600 of our stores. In affected categories, overall inventory accuracy has increased dramatically, meaningfully reducing the number of occasions in which we can't physically locate an item. 
 In addition, we've made system changes to optimize replenishment of products that our guests purchase in multiples and make changes to minimum on-hand standards in higher-volume locations, both of which have dramatically reduced out-of-stocks on affected items. We will continue to test and rollout these enhancements throughout next year. 
 Because of our efforts to eliminate nonguest-facing work in our stores, the team is delivering outstanding service to our guests while delivering efficiency in support of our cost-control efforts. Through the redesign of our in-store replenishment processes and algorithms, we've reduced store backroom trips dramatically this year, delivering tens of millions of dollars of payroll savings that we've reinvested in service. 
 Two areas in which we've invested store labor are the Store Pickup process and our ship-from-store capability. Guests love the flexibility of these capabilities all year but especially during the holiday season. In fact, during the peak period from Thanksgiving through Cyber Monday, we expect our stores to fulfill more than half of our digital demand. While this is the third holiday season in which we've offered order pickup in all of our stores, we're planning for volume to grow another 50% from a year ago. 
 Since last year, we've added additional holding capacity to more than 80 of our highest-volume pickup locations, and we've invested in scheduling tools and additional digital devices to enable high-volume locations to deliver fast service even in peak times. And this year, in more than 300 of our highest-volume pickup locations, our stores teams will wear unique shirts and deliver separately branded reusable bags to underscore our commitment to the pickup experience. 
 By last year's holiday season, about 460 of our stores were shipping directly to our guests, up more than threefold from about 140 stores in 2014. This year, we've extended this capability to another 600 stores, meaning that well over 1,000 of our stores are shipping directly to our guests this season. In total, these stores are expected to ship more than 3x as many units as last year, accounting for about 1/3 of our digital volume during the peak period from Thanksgiving through Cyber Monday. 
 Shipping from stores delivers a number of benefits to our guests and to our business. Most importantly, this capability reduces shipping times, given the proximity of these stores to the vast majority of the U.S. population. With that proximity of guests, we also save on shipping, helping to relieve the pressure from shipping growth in our P&L. It also allows us to balance our inventory across our store network, maintaining in-stocks while reducing markdowns in store locations with heavy inventory. 
 And finally, store shipping release pressure on our fulfillment centers, especially during peak season, allowing the entire network to function more effectively. Our 3 delayed allocation centers, which have all come online this year, are another way we upgraded capacity. These facilities allow us to aggregate inventory in slower-moving but harder-to-forecast categories, allowing us to improve our store allocation without hurting lead times. During peak season, we will be fully utilizing these facilities to free up space in our regional DCs to enhance the overall speed and reliability across our distribution network. 
 Finally, as a result of our efforts to optimize inbound processes, we expect to double the percentage of our holiday receipts that are processed within 24 hours of arrival. This will enhance our store in-stocks while freeing up meaningful space in our regional DCs, further enhancing speed and efficiency. 
 While we're just getting started, our team is really excited about our progress in modernizing Target's operations, and we're pleased to hear from many of you that you're beginning to notice the difference when you shop with us. While that's great to hear, I want to emphasize that we are not slowing down. Our team is energized and focused on our plans for the next year and beyond, and I look forward to sharing those plans with you in February. 
 With that, I'll turn it over to Cathy, who will share her perspective on our third quarter financial performance and our outlook for the fourth quarter and full year. Cathy? 
Catherine Smith: Thanks, John, and hello, everyone. Our third quarter financial performance was much stronger than expected, driven by strong execution across the board. Adjusted earnings per share of $1.04 was 22% higher than last year and well above the top end of our guidance range. This performance would be noteworthy in any environment but it's especially impressive given our challenging sales trends. 
 Comparable sales declined 0.2% in the third quarter. This was a full percentage point better than our second quarter performance and near the high end of our guidance range. However, it's well below the growth we expect to generate over time. 
 With the removal of our pharmacy and clinic sales from this year's results, total sales were down nearly 7% in the quarter. Digital sales increased more than 26%, contributing about 70 basis points to our comparable sales. Digital growth was fastest in our signature categories and was particularly strong in Kids, driven by the strength of our Back-to-School offering and the launch of Cat & Jack. This is particularly exciting because signature categories are items and brands uniquely Target. 
 Among the components of our comp sales, transactions were down 1.2% in the third quarter and 1 percentage point improvement from the second quarter. Average ticket increased 1%, in line with our performance so far this year. 
 I want to pause here and make it clear that while we have made significant progress, we are not satisfied with our third quarter traffic and sales performance. First and foremost, we are focused on restoring growth to both of these metrics over time. Our REDcard program is our most powerful loyalty vehicle, and it's continuing to grow. Sales penetration on our REDcard was 24.3% in the third quarter, in line with our expectations and 2 percentage points ahead of last year. Excluding the benefit from the pharmacy transaction, penetration was up about 80 basis points in the quarter, which is consistent with our year-to-date performance. 
 Moving down the P&L. Our third quarter segment EBITDA margin rate was 9.9%, up from 8.6% last year. About 2/3 of this improvement was driven by an increase in our gross margin rate combined with the benefit of a lower SG&A expense rate. Specifically, our gross margin rate improved about 80 basis points compared to last year, which was much stronger than expected. This improvement was entirely driven by merchandise mix resulting from both the pharmacy transaction and strong performance in our signature categories. 
 On the SG&A line, we saw about 40 basis points of improvement from a year ago, which reflects the benefit of our ongoing cost-control efforts. As John mentioned, we continue to find ways to eliminate nonguest-facing labor in our stores. This creates capacity that allows our team to focus on guest service while maintaining outstanding efficiencies to support our financial performance. 
 For the first time this year, our quarter-end inventory was lower than a year ago. The team has done a fantastic job responding to the recent slowdown in our sales by effectively managing inventory and receipt. With this strong execution, we've seen outstanding gross margin performance so far this year. And as we enter the peak of the holiday season, we feel very good about the level and the composition of our inventory. 
 Let's turn now to capital deployment. We paid $345 million in dividends during the third quarter and returned another $878 million through share repurchase. A portion of our third quarter repurchase activity was accomplished through an accelerated share repurchase agreement. A portion of this ASR was settled after the end of the quarter. Through the first 3 quarters of 2016, we have repurchased more than $3 billion of our shares, which keeps us on track to invest $3.5 billion or more in share repurchase this year. 
 One thing to note is that during the third quarter, our Board of Directors approved a new $5 billion share repurchase authorization. We'll begin repurchasing shares under this new program when we complete the current $10 billion program. As of the end of the third quarter, we had approximately $300 million of remaining capacity on the current $10 billion program. 
 And one other item to note. During the third quarter, we obtained a new $2.5 billion credit facility that expires in October of 2021. This new facility replaces a $2.25 billion facility that was scheduled to expire in 2018. We have never borrowed under any of our prior credit facilities, and we would not expect to borrow under the new one either. However, it provides an important source of backup liquidity, and it serves as a backstop to our commercial paper program, which we use to fund our seasonal borrowing needs. 
 Reflecting our focus on disciplined capital deployment, one of our goals is to grow our after-tax return on invested capital into the mid-teens over time. I'm pleased to share that we are making significant progress toward this goal. For the 12 months through the end of the third quarter, our business generated an after-tax ROIC of 16.3%. However, that calculation includes the onetime gain from the pharmacy sale, which we recognized in the fourth quarter of last year. Excluding that gain, our third quarter after-tax ROIC was 14.3%, up about 130 basis points from a year ago. 
 Now let's turn to our outlook for the fourth quarter and full year. Consistent with last quarter, we are maintaining a cautious outlook, given the current environment and the prospect of a very competitive holiday season. With that in mind, we are planning our fourth quarter comparable sales to be roughly consistent with our third quarter performance in a range of around flat, plus or minus 1%. Total sales are expected to decline about 3% in the fourth quarter, reflecting the removal of pharmacy and clinic sales from this year's results. This will be the last quarter in which we will be comping over pharmacy and clinic sales from the prior year. 
 In terms of operating margin, we're expecting our fourth quarter segment EBIT margin rate will be up slightly, about 10 basis points higher than last year. This outlook is based on an expected 40 basis point improvement in our EBITDA margin rate, driven entirely by a lower SG&A expense rate. Offsetting this improvement, we expect to see an increase of about 30 basis points in our depreciation and amortization expense rate. This will be driven by approximately $15 million of accelerated depreciation related to our 2017 store remodel program, along with the deleveraging effects of the total sales decline resulting from the pharmacy transaction. 
 Altogether, in the fourth quarter, we expect to generate both GAAP EPS from continuing operations and adjusted EPS in the range of $1.55 to $1.75. When we combine these fourth quarter expectations with our year-to-date performance, we're expecting to generate approximately flat comparable sales for the full year and full year adjusted EPS in the range of $5.10 to $5.30. Notably, the top half of this updated EPS range is within the range we laid out at the beginning of the year. This demonstrates how effectively our team has performed in the face of unexpected sales challenges. 
 Looking into next year, our first focus is to restore growth in our traffic and comparable sales. With sales growth, a strong gross margin mix and continued cost discipline, we believe we can sustainably grow both the top line and the bottom line over time. I look forward to discussing our longer-term aspirations and our outlook for 2017 performance at our meeting with you in February. 
 Now I'll turn the call back over to Brian, who has a few closing remarks. Brian? 
Brian Cornell: Thanks, Cathy. Before we open up for questions, I want to pause and recap our position as we enter the final quarter of the year. Year-to-date, comp sales have been about flat, and we believe it's prudent to plan for a similar trend in the fourth quarter. That said, we're very excited about our plans for the holiday season, and our team is focused on outperforming our plans, gaining market share and delivering positive comp sales across our businesses, not just in signature categories. 
 On the adjusted EPS line, we have grown more than 10% so far this year. And based on our fourth quarter expectations, our updated range for full year adjusted EPS overlaps with the original guidance range we provided last March, reflecting the team's strong execution in the face of challenging sales trends. 
 Signature categories sales continue to far outpace the company average, and we continue to gain market share in these categories. And because our digital growth continues to outpace the industry average, we continue to gain share in the digital channel as well. 
 So while we continue to adjust our near-term tactics to better maintain the balance on both sides of our Expect More. Pay Less. brand promise, we believe we have the right long-term strategic plan to sustain Target's performance over time. 
 I look forward to covering both our fourth quarter results and our longer-term strategic and financial plans at our Financial Community Meeting, which we'll be hosting in New York on February 28. We'll be providing more details on timing and location soon. But in the meantime, please mark your calendars for that date. 
 With that, we'll conclude today's prepared remarks. Now Cathy, Mark, John and I will be happy to respond to your questions. 
Operator: [Operator Instructions] Our first question comes from the line of Bob Drbul with Guggenheim. 
Robert Drbul: I just had a couple of questions for you. On pricing, throughout the quarter and, I guess, into the holiday season, what are you seeing and what are you expecting in competition? And you talked a little bit about your ongoing strength in Toys. Can you just talk about the drivers of Toys in the fourth quarter and how you expect that to perform as a category? 
Brian Cornell: Bob, as we think about the holiday season, we expect it to be a very competitive, promotional environment, like we've seen over the last couple of years. So we've -- I think we've got great plans in place. We're very excited about the merchandising, the marketing and promotional plans, and we think we're going to be very competitive throughout the season. As it pertains to Toys, again, we've had a multiyear positive run in that category, and one of the things that's really been important for us is working with key partners like Disney, Mattel, Hasbro to make sure we bring new exclusive items to our assortment. As we go into the holiday season, we're excited to have 1,800 exclusive items in that category, and we think these are going to be very important to our guests throughout the holiday season. 
Robert Drbul: Great. Brian, can I just ask one more follow-up? So when you look at the business over a longer period of time, this has historically been a relatively steady business. I was just wondering, when you look at the volatility between what you saw last quarter and your results and sort of your forecast for the fourth quarter, within 3 months, that's a dramatic change in the outlook. Can you just talk a little bit about exactly what is factored -- what factors are driving this? 
Brian Cornell: Yes. Bob, as we think about our strategy and our approach, while we're certainly very pleased with the progress we saw in the third quarter, it's a result of being very focused on the strategy we've had in place for almost 2.5 years now. And our results and the improvement we saw in the third quarter is really driven by, one, our focus on those signature categories, our commitment to Apparel and Home, baby and Kids, where we continue to see very strong growth and market share improvement. We've been very committed to improving our digital engagement, and year-to-date, we're up over 20%. We saw a 26% growth in the third quarter. And the investments we've been making to improve functionality and ease online is certainly connecting with our guests. We've been very focused, as we've talked about, in expanding our format into new urban neighborhoods. And every time we open up a new store, whether it's in New York, TriBeCa or Philadelphia, we're seeing a great response from our guests. And we've been on a journey, over the last couple of years, to drive greater efficiency throughout our organization. And with John's leadership, we continue to see very strong improvement in operational efficiencies and costs that we're returning to the bottom line. So our focus over the third quarter is very similar to the journey we've been on for the last couple of years, and we've just intensified our focus on executing against our key strategic plan -- planks. 
Operator: Your next question comes from the line of Scott Mushkin with Wolfe Research. 
Scott Mushkin: So just kind of wanted to step back. And we've got traffic that's negative. And trying to understand, as we get out to like next year and the year beyond, where -- obviously, you guys are doing a great job controlling SG&A costs, but it's very hard for a retailer like Target to run this balance with traffic down and sales kind of flat, especially with wage costs rising rapidly. So Brian, if you could take us out and kind of talk about the strategy to drive traffic, get the sales up. I think you threw the number out there, 3% comp growth '17 and beyond. Just how do we get there? 
Brian Cornell: Scott, as we think about the next several years, you're going to continue to see us make significant investments in our assets, improve the in-store experience. We're already seeing the benefits of the investments we've made in Apparel and Home. We're very pleased with some of the learnings from LA25 that we'll be transitioning into our new remodels as we go forward. So we think the importance of the in-store experience, great customer service, continuing to bring newness to our assortment, elevating and developing our own brands -- I think one of the big highlights for Target in 2016 is the way our guest has reacted to 2 great new brands. Both Pillowfort and Cat & Jack have been incredibly well received. The style, the quality, the value we're delivering is connecting with our guest. So the combination of great in-store experience, making sure we surround our guest with great customer service, whether they're shopping in our store or they've ordered online and they're coming in to pick up that order, and then delivering great Target brands at a value. So we think that combination is the strategy that drives traffic into our stores, cars into our parking lot and even more engagement online. 
Scott Mushkin: All right. Perfect. And just as a follow-up to kind of thinking about the '17 and beyond, I know CVS was out, I guess, it was last week, they're losing a lot of scripts because of dynamics that are going on there. Now clearly, you don't -- scripts don't matter anymore to you guys, but how about traffic impact on Target as we get into '17 and beyond? Have you guys thought about that and what that can mean? 
Brian Cornell: Well, Scott, I will start with scripts matter a lot to us, and key to the partnership with CVS is making sure we're working together to drive scripts. Because back to the importance of traffic, scripts will be an important part of driving traffic to our stores, and we were very pleased in the third quarter with the progress we're seeing. We're seeing much greater awareness now that we've completed the new branding. The combination of our in-store marketing and CVS marketing and their PBM is driving increased traffic to the pharmacies. So that is a very important lever going forward, and we're very confident in our partnership. John Mulligan works very closely with the CVS team. We've got great plans in place for the fourth quarter and even stronger plans as we go into 2017. So that is a very, very important part of the traffic equation, and we think, over time, that's going to be a key driver of traffic into our stores. 
Operator: And your next question comes from the line of Greg Melich with Evercore ISI. 
Gregory Melich: I really wanted to follow up on Grocery and Food and the strategy there and how we're going to use that to drive traffic; and also on traffic, an update on your digital initiatives. I know you were doing some tests of combining Cartwheel with REDcard. Just love to hear how those are going and how you think those could help drive traffic into next year. 
Brian Cornell: Yes. Greg, let me start on the Grocery side. And clearly, we have more work to do there, but we feel like we're making very good progress, changes we've made to assortments, improvements we've made to the quality of our produce items. And we're certainly pleased with the reaction we're seeing as we enhance the experience in our LA25 stores. That being the case, we've got to continue to make sure we build a greater connection with our guest as it pertains to the convenient food offering we provide. And Mark and I are working closely on the next phase of our Grocery evolution to make sure that we continue to provide the right assortment, the right value, the right quality our guest expects from Target while they're shopping our stores. So you'll see a lot more of that when we get together in February, but we recognize that's an area that we've got to continue to drive progress in. From a loyalty standpoint, we are working very closely with the marketing team to ensure that when we get together with you in February, we'll be able to talk about the next iteration of our personalization and loyalty programs. Key to that, Greg, is bringing together some of the great assets we already have in place, leveraging our REDcard, leveraging Cartwheel, which continues to see great response from the guest, and making it easy for the guest to leverage the existing loyalty assets we have in place. So we think that's a key unlock as we go into 2017 and beyond, and that'll be a key topic of the conversation when we see you in February. 
Operator: Your next question comes from the line of Brandon Fletcher with Bernstein. 
Brandon Fletcher: First-time caller, long-time listener. My -- our core question is, who else can win in urban environments? I know you only have a few dots with the flexible formats, but we think you guys are pretty far ahead in terms of knowledge, how to run mass merchants in urban stores. And mostly, your competitors are pharmacy stores who are good competitors, but boy, they need a whole lot of price to make it work. Do you see somebody else who's dangerous around the corner for taking a spot in cities, obviously besides Amazon going ever more urban? 
Brian Cornell: Yes. Brandon, we're very focused on our own opportunity. Again, we're in 30 locations today. We think we have the opportunity to enter many, many new neighborhoods, and we're really focused on making sure we build the back-end capabilities in supply chain, in assortment management, the in-store operating capabilities that it takes to run these smaller stores. But we think the unique opportunity we have is bringing the best of Target to these individual neighborhoods, making sure that we custom tailor assortment, we bring the right assortment of Apparel and Home, baby and Kids that's right for that neighborhood, complement it with convenient foods and household essentials that really make that local Target run impactful for the guests. So we're still learning. We're very pleased with the feedback, but as we enter very competitive markets like New York, we're going to learn a lot from TriBeCa. We'll take that to other locations. As we do more and more business adjacent to college campuses, we'll understand more and more about the needs of the college student, but we really think, right now, we've got a unique opportunity to leverage this new footprint as a future growth element in our strategy, and the guest continues to say thank you every time we enter a new neighborhood. 
Operator: Your next question comes from the line of Matt Fassler with Goldman Sachs. 
Matthew Fassler: My question is focused on gross margin, where you really turned the corner year-on-year when you back out the pharmacy business. You all spoke to the impact of mix, but can you talk about the impact that you're seeing from cost cuts at the point of purchase for you and how deeply you are into that effort, whether you expect that to be sustained going forward? 
Brian Cornell: Matt, I'd start with we feel really good about the way Mark and his team have managed gross margin throughout the quarter, but it's really a byproduct of the strength we continue to see in those important signature categories. And both in-store but, importantly, online, our growth has been led by Apparel and Home, great strength in baby and Kids, those important high-margin categories that drive differentiation for our brand. So the benefits that we're seeing in gross margin are a byproduct of the strategy we've had in place and really making sure that we're building market share, we're bringing great style and design and newness to those signature categories, and the payback has been margin expansion while we continue to invest in value and getting back to rebalancing our brand promise. We're bringing tremendous product to the Expect More side. And now we've rebalanced our value message on the Pay Less side. So we were able to invest in value throughout the third quarter and still see gross margin range expansion. So we feel really good about the balance we're bringing there and think that can be sustained over time. 
Operator: Your next question comes from the line of John Zolidis with Buckingham Research. 
John Zolidis: Great to see the sequential improvement in trends. 
Brian Cornell: Thanks, John. 
John Zolidis: Question about some of the metrics within the comp. Looking at the average unit retail up 3.5% and units per transactions, down, I noticed that, that has been the case for about 10 consecutive quarters now. So just curious if you could talk about what's driving the average unit retail up and units per transaction down. 
Brian Cornell: Yes. Again, John, it comes back to the mix of our business and the strength we're seeing, particularly in categories like Home, the strength we're seeing in Apparel and accessories, some of the strength we're seeing in baby and Kids. So those are important categories, obviously, in many cases, higher ticket -- still a great value for our guest but higher ticket. And obviously, offset by some weakness we've seen in the Grocery category. So the mix is clearly impacting those metrics you're seeing, and we feel very good about the way the guest has reacted to the quality, the style and the value we're offering in those signature categories. 
John Zolidis: Is e-commerce growth also a factor then? I would imagine that's more focused into the higher purchase items [ph]. 
Brian Cornell: Absolutely. And again, as we noted in our earlier comments, while, overall, we saw our digital business grow by 26%, the bulk of that business, the high-growth areas were in Apparel and Home, so again, higher-ticket items. We feel really good about the progress we're making from a digital mix standpoint, and that's also coming through in the metrics you're seeing. 
Operator: Your next question comes from the line of Chris Horvers with JPMorgan. 
Christopher Horvers: I wanted to think about the shift of the digital promotion in the second to the third quarter. How large of a contributor was that to your delta in comp performance in the third quarter versus second quarter? I ask this because if we look at these 2 quarters together, that's the low end of your 4Q guide. And so as we look ahead, what are the, I guess, big efforts or big drivers that you think drive the business to potentially the higher end of that range? Is it the focus on -- your customers tend to shop more around events? Is it the merchandising side? What drives the higher end of the comp outlook for 4Q? 
Brian Cornell: Yes. Chris, backing up, and I know there are a number of embedded questions there. One, there was some shift because of the promotion between Q2 and Q3. I'd really focus on the year-to-date number. Year-to-date, from a digital standpoint, we've been growing at 20%. As we talked about earlier in the call, we're very pleased with the reaction we're seeing during key event periods, Back-to-College, Back-to-School, a very important period for us both in-store and online. And we think the combination of the investments we've made to improve ease, functionality of our digital engagement and the fact that we're certainly showing the ability to win during key holiday and thematic periods, that's the right balance for us going forward. So we think digital is going to be an important part of our growth strategy going forward. We think digital is certainly the way our guest interfaces with the brand, whether they're in store or online. And we're very pleased with the progress we're making, and our overall growth rate is approximately 2x the digital industry. So we're building market share. We're winning during key seasons, and we certainly expect that to be a key driver to our fourth quarter success. 
Christopher Horvers: And then just one quick follow-up question. Can you talk about how much -- I think CVS was 60 or 70 basis points to the gross margin in the third quarter. You're going to start to lap that in the fourth quarter. It sounds like you're guiding to flat. So just help us understand how that sort of progresses out into the fourth quarter. 
Catherine Smith: Yes. So Chris, this is Cathy. As we said, we're guiding for EBIT margin to be up about 10 basis points. We do -- CVS was -- we closed it, remember, about halfway through the fourth quarter last year, so we'll get a little bit of that impact still. The biggest driver in the fourth quarter, as we said, was the -- is SG&A. So we'll continue to see some improvement there, and that's going to get us that 10 basis points of EBITDA margin. 
Operator: Your next question comes from the line of Robert Ohmes with Bank of America. 
Robert Ohmes: The question I had was just -- was actually -- this might be more of a John Mulligan question. I was hoping, John, you could maybe give a little more detail on what the opportunities are from here in terms of in-stocks, RFID, the stuff you're working on and sort of how that could support store comps as you -- in the fourth quarter and as you head into next year. 
John Mulligan: Great question, Robbie. I think the team has made a lot of progress. And as we said, at least the way we measure it today, our in-stocks -- out-of-stocks is actually the number we've been focused more on, is at our historically low number. So we feel great about that. Having said that, we think there continues to be significant opportunity for us. And I think we see opportunity, first, at a store level, ensuring we always have what the guest wants when they walk in. Because even though we've improved meaningfully, there's still a lot of distance there to go. And then, more important than that, digitally, ensuring we have the right unit at the right place for the guest, whether they want to come in store and pick it up, whether we're going to ship that from a store or ship that from a fulfillment center. And today, we're not completely optimized there either. And so while we've seen great progress and we -- there's absolutely benefit to the guest and their trust with us when they come into the store over time, we still think there's a lot of runway there for us to improve. And you'll continue to see us focus on reliability and speed in our supply chain, and those are the 2 things that we will continue to drive against over not only next year but the next several years. 
Operator: Our next question comes from the line of Dan Binder with Jefferies. 
Daniel Binder: It's Dan Binder. You highlighted that Back-to-School was strong for you, and it seems that the consumers are shopping Target when there is an event, which could be good for holiday. But I'm curious what you saw in the post Back-to-School period and just generally, when you look back over the last year or so, in between big events, whether it's a Memorial Day event or a Father's Day event or such, what you're seeing in those traffic trends between the big events. 
Brian Cornell: Dan, it's a great question. And obviously, we feel really good about the support we received during Back-to-College and Back-to-School. In those off-holiday periods, we've got to make sure we've got the right balance between newness and those important style categories and great value in our household essentials and Food. And Mark and his team have spent a tremendous amount of time reshaping our promotional strategies, making sure that, both in our circular but also in-store, it's really clear to our guests that we've got this great combination of newness and style and the value our guest deserves and is looking for in those key household essential areas. So we've done a lot of work in-store. I think with Mark's leadership, we're clarifying value on our end caps, clear assortment that connects with the guest in those off-holiday periods. So I feel really good about the progress. You'll see more of that as we go into the fourth quarter. But why don't I let Mark talk about some of the work that he's been leading as we think about really ensuring that value message is very clear to our guests when they're walking our stores each week. 
Mark Tritton: Yes. Thanks, Dan. What we've seen is like a really hypercompetitive market in the first half of the year that really made us take stock to look at how do we represent and resonate value to our guests more readily. So what you're seeing emerging in third quarter and more in the fourth quarter and beyond is a representation not just of price and value in our circulars, as Brian talked about, but in-store, ensuring the guest clearly sees that value up front and center, so representation on our end caps, increasing single price point end caps to really generate a buzz about our value and really delivering on Expect More. Pay Less. So this is a continuing trend. And then the spaces between the key seasonal events that you raised, as Brian said, we're hyper-focused on that. We've seen some strength in some of our options that we put in place and really looking forward to our plans about how do we continue guest traffic and love post major events where we do win. 
Daniel Binder: And then, if I could, just another question. In the last quarter or 2, you've highlighted that the Electronics business was, I think, about a 70 basis point hit to the comps. I was just curious if you could help us understand what that looked like in Q3. And then on the scripts that you mentioned were getting better, trend wise, it sounds positive. But I was curious, if you look at the script trends relative to what you were doing when you owned the pharmacy business, if there's some sort of relative measure you can give us there, that would be helpful. 
Brian Cornell: Yes. So let me start with E&E. And as I've mentioned in my earlier comments, we feel really good about our plans for the fourth quarter. And obviously, Entertainment, Electronics and Toys are critically important gifting items for the fourth quarter. So again, I think the work that Mark and his team have done to make sure, working with our vendor partners, we have a combination of new items, exclusive items, items that are on trend. We've seen a great reaction to our toy and gifting catalog, and we think like that we're very well positioned for the fourth quarter. Those categories did trend downward in Q3. But the important part of the year is in front of us, and I think we're very well positioned. And from a script standpoint, we are still rebuilding some momentum in that space. But sequentially, we've seen improvement from Q1 to Q2 and Q3, and we recognize that with time, as the branding's in place, as our in-store marketing and the CVS marketing take shape, we're going to be rebuilding and growing scripts in that very important part of our store. 
Operator: Our final question comes from the line of Oliver Chen with Cowen and Company. 
Oliver Chen: Solid margin and inventory control. Just wanted to ask you about fill-in versus stock-up. It's likely related to your -- the progress you've made towards the value messaging. So just curious about how you're feeling about that dynamic. And then I wanted you to try to brief us on the reality versus Amazon, the near-term strategies in terms of how you'll be competitively positioned versus Amazon in the holiday season period. And then as you look to bricks and clicks and the seamless experience over the longer term, for long-term investors, what should the key factors be as we engage in that share opportunity versus Amazon? 
Brian Cornell: Oliver, a great way to wrap up the call. From a fill-in and stock-up standpoint, again, the work that Mark just talked about on the value side is clearly addressing the fill-in guest, and I feel very good about the progress we've made and will continue to make in that space. I think to the broader question, it's a terrific way for us to wrap up before we all get together in New York City. We continue to feel very good about the strategy we have in place and how that will allow us to be very competitive and continue to win in the current retail environment. We think the investments we're making in our stores are critically important, and that store experience that we continue to elevate is a very important measure for our guests. We've learned, as I hope you have, guests still like physical stores, and year-to-date, still almost 90% of all retail shopping is taking place in a physical store. So we've got to make sure we've got a great experience, we've got great service, we continue to elevate that experience and service and combine it with outstanding merchandise and value every time our guests shop. We think our strategy of moving into new neighborhoods, whether it's these densely populated urban centers or on college campuses, is a critical growth vehicle. And again, the reaction we've seen every time we open up a store in Boston, Philadelphia, Chicago and certainly in New York tells us our guests love the convenience of having Target right there in their neighborhood. But we're also continuing to make investments online, and we want to make sure we continue to give our guests the choice of shopping any way they want, the ease of shopping online and picking up in our store, which we think is going to be a very important factor during the fourth quarter, but building out those capabilities, leveraging our stores as flexible fulfillment centers. As we go into this holiday season, well over 1,000 locations will be locations that not only you can shop in and pick up, but we're using to deliver the last mile. We think that's a huge competitive advantage. So we feel very good about the strategy we have in place. We think it's a strategy that will win not only in the short term but over the long term, and we look forward to seeing all of you in New York in February. 
 So with that, operator, we're going to wrap up our third quarter call. I appreciate everyone participating, and we look forward to seeing you in New York in February. 
Operator: Thank you for your participation. This does conclude today's conference call, and you may now disconnect.